Leila: Good afternoon, everyone. My name is Leila, and I will be the conference operator today. At this time, I would like to welcome you to the sales third quarter fiscal 2026 conference call. This conference is being recorded, and all lines have been placed on mute to prevent any background noise. After the speakers' prepared remarks, there will be a question and answer session. At this time, I would like to turn the call over to Mike Spencer, Executive Vice President of Finance and Strategy and Investor Relations. Sir, you may begin.
Mike Spencer: Good afternoon, and thanks for joining us today on our fiscal 2026 third quarter results conference call. Our press release, SEC filings, and a replay of today's call can be found on our website. Joining me on the call today is Marc Benioff, Chair and CEO, Robin Washington, Chief Operating and Finance Officer. We also have Srini Talabhrigada, President and Chief Engineering and Customer Success Officer, and Miguel Milano, President and Chief Revenue Officer, joining us for the Q&A portion of the call. Some of our comments today may contain forward-looking statements that are subject to risks, uncertainties, and assumptions, which could change. Should any of these risks materialize or should our assumptions prove incorrect, actual company results or outcomes could differ materially from these forward-looking statements. A description of these risks, uncertainties, and assumptions, and other factors that could affect our financial results or outcomes is included in our SEC filings, including our most recent report on Forms 10-K, 10-Q, and any other SEC filings. Except as required by law, we do not undertake any responsibility to update these forward-looking statements. As a reminder, our commentary today will include non-GAAP measures, and reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings materials and press release. And with that, let me hand the call over to Marc.
Marc Benioff: Alright. Great job, Mike. And thanks, everyone, for joining us today. Well, as you can see, first of all, great seeing everyone at Dreamforce. We are so happy that you were all with us. And now you can see we've delivered strong results for the quarter across all of our key metrics. We're continuing to execute on the path to our $60 billion dream that we outlined in detail with all of you at Investor Day. And we delivered really strong bookings. Miguel is here. He's gonna talk to you about that. And we've delivered incredible results with AgentForce. It's really exceeding our expectations. We're gonna hit all the details, but I think that you could see 3.2 trillion tokens delivered for our customers. It's all exceeding our expectations. We're gonna get into all of that detail as well. That's the core of our organic innovation. We're making these disciplined strategic acquisitions like Informatica, also now online. In the company. We're really excited about the harmonization, integration, federation, that Informatica plus Dataflow 360 plus MuleSoft is giving us. And that's gonna strengthen our overall leadership in data and, of course, AI. And we're ensuring that we have the distribution capacity that's extremely important for us because we are a direct seller place to support long-term growth. And Miguel has made some fantastic investments over the last twelve months in all of our core segments. We're gonna talk about that as well. And finally, Robin is gonna speak in more detail about the capital allocation strategy and the investments that we're making for fiscal year 2027, which we're getting very excited about. And a very clear focus on our continued path for, you know, I would say, very sustainable, profitable, durable growth and innovation. Now you are all at Dreamforce. You saw that energy, the level of customer success. It exceeded my expectations. And you saw how we're bringing humans, data, AI, apps together to build the Agentic enterprise. And we just couldn't be more excited about that and how customers are receiving the message. Every CEO I met at Dreamforce and I mean, every CEO I speak to just the last couple of days, I had some great meetings. And I'll tell you that everyone knows that they wanna get to the next level in their business to bring AI in, become more productive, become more efficient, become elevated as Matthew said in the opening video. But they all know they now they've gotta become these agentic enterprises. And I don't think for a lot of them, two years, three years ago, maybe even a year ago, they really understood that opportunity, and they are now more motivated than ever to do it. We're gonna hear about that, some story, great stories. From the core from the quarter. And, of course, you know, we've all read that crazy MIT study where, you know, customers went off trying to build their own models and trying to build their own toolkits and this and that and, you know, DIY it. And now they realize the real value from AI is delivering, you know, number one, customer agents, and we have so many examples. But now about $500 million in agent force revenue, talking about customer agents. But, also, and what's really exciting here at Salesforce and some of you have seen it, but probably a lot of you haven't. Is employee agents. And we've really delivered an incredible new framework deeply integrated into our Slack product. Every Salesforce employee already uses it every day. I do, and it's the core of every demonstration we give to our customers to show how we have unleashed with Slack, something new called Slackbot, which is really the heart of our employee agent strategy and you're gonna see that. It's incredible. It is able to go not only through Slack, but and not only through the whole Internet, but also through all of our customers' data that they have basically, you know, provision in a secure way through Salesforce as well and deliver a context. And I'll tell you in now before I do a customer visit or call or whatever it is, I'll I'll just kinda sit right down. I was with a really good friend of mine. Just this weekend. I had lunch with him, and he's a top venture capitalist. And had been a huge investor in a in a Coinbase. And I'll tell you that just sitting there just talking about, hey. Tell me about everything with your venture capital company. Tell me everything about this venture capitalist, and then also tell me everything about Coinbase and the company and our And then bam, you know, it's able to deliver to me a absolute and complete not only analysis, not only a summarization, not only all of the detail, but next steps, how to sell, what I should do exactly for the customer And I love them in this the customers because they don't think it's possible. Then when they see it, they say, wow. This is what AI was meant to be. And I'm like, this is context. This is data. This is apps. This is the best of the large language models and delivering it all to you. Well, anyway, let's get into the quarter. Q3 revenue was up $10.26 billion. It's up 9% year over year, 8% constant currency Our non-GAAP operating margin came in strong. At 35.5%. And CRPO was outstanding. You see already $29.4 billion, up 11%. Miguel's gonna talk about, you know, this great quarter he had the best quarter I think we've had actually in three years, and 11% in constant currency. And RPO is nearly $60 billion, growing 12% year over year. Kinda huge numbers. But very exciting, considering we've also rebuilt all the product as well and, delivering this AI future for everyone. You know, this really is signaling to us that it's a strong pipeline of future revenue as customers ground their AI future in AgentForce And the third quarter operating cash flow was a whopping $2.3 billion up 17% year over year Free cash flow was $2.2 billion, up 22% year over year, and we expect to finish the year with nearly $15 billion in operating cash flow. That was pretty awesome, I think. I think it's more operating cash flow at $15 billion than even Walmart. So that awesome. Agent force and data reached nearly $1.4 billion in ARR in the quarter, up a 114% year over year, including Agent Force ARR ARR. Of about $540 million, 330% year over year, and I think all of our account executives, you know, go we've got about 15,000. I don't know what the exact number is out there, are all selling this now. People really can understand it. We can demo it. We can show it. But I think you've all seen, like, what our customers are doing. And I've the you know, the one I love and that I use because I'm a huge customer, is Williams Sonoma's version of Agent Force, which they call Olive. And if you haven't been on the Williams support, Williams Sonoma's website and seen the, sous chef, that they call Olive. And used it I think the quality is what I'm most impressed with. That it's really very, very good. You don't see hallucinations. You see really kind of the customer personality, the quality, the ability to deliver, you know, value, and they are saying it's about 60% of their chats We've got a whole another level to go with them with voice, which is coming, which is very exciting. You know, this is our fastest growing product ever. And every Salesforce app now, not just, you know, sales, service, marketing, commerce, all of them, Tableau, Slack, our new ITSM, supply chain products, They're all been rebuilt, and Srini is here. He's gonna talk about what we've done to bring AgentForce in to every product we have and make you know, we transform AgentForce from being a product to a platform so that all of our apps can reason, learn, take action, collaborate with users. But it's really about humans and apps and the AI and the data all working together. And that is what's so exciting that every part of our platform is now so deeply integrated. And because all the data is unified and every app shares the same metadata, They speak the same language, and you really get that feeling when you are using the Slack bot Trini will tell you about it. Because all of a sudden, Slackbot is able to, like, read across all of our data, but then talk directly to you and give you that elevated experience. So when an LLM is interacting with agent force, it's getting that strategic context from our data. You know, from the data on the Internet as well, from, you know, the data that it's been trained in. And then how your knows how your business operates. It's really able to give you that. And that's because Salesforce is unique in that we have the data that makes business more valuable. It's that customer data, the service data, the sales data, the marketing data. Then we're able to deliver it in a in a tremendously friendly way. We've rebuilt all of our products to deliver this agentic enterprise, really just getting going. I think Srini will tell you if we were really brainstorming a few years ago when we first created our GPT series, we're starting to begin to integrate the large language models I don't think we exactly knew that at this point, we'll be able to deliver this incredible customer agent experience and this incredible employee agent experience. In fact, six of our top 10 deals in the quarter are now driven by companies that just wanna transform with AgentForce. And that's a big thought because a year ago, we were just trying to ship the product. You know, it was just coming out of beta. It was, like, a very strong, you know, version one. But it's more than a strong version one now. And I think everyone can go and look at that. Example with William Sonoma or with SharkNinja or with you know so I mean, there's so many great examples that I use every day. I know, Miguel's got his remarkable pad in front of him. So you know, I think that in just a year since we introduced AgentForce, we've closed over 18,500 AgentForce deals. 9,500 of them are paid transactions. It's up 50% quarter over quarter. All of our reps now kinda have the acuity. They've got the nomenclature. They're enabled. That that was a huge lift for us start to bring the whole company into this AI revolution and give them the tools and now these great customer examples it's happening around the world. I just got back from Japan and I saw it there. I was in The UK. I saw it there. I've seen it obviously throughout the whole United States It's really a global phenomenon. So agent force is now powered. Here's a few interesting things. AgentForce has powered 1.2 billion large language model calls. That's interactions when agents invoke a model to context and decide the next best action. Across the apps. You've seen the omnichannel supervisor, like, built into the service cloud where all of a sudden, you know, I'm an I'm a customer. I'm coming into the website. Even, like, Salesforce or tohelp.salesforce.com or any of our customers websites. And I'm in there and I'm working. And then all of a sudden, I oh, I've hit kind of the the limit of what the LLM can do. I can escalate immediately. Also write to a human, that's where the humans and the agents and the AI and the data all have to work together. And our top 50 customers, including and Miguel's got this story in his pocket, but, you know, Falabella, Vivint, DIRECTV, there's so many great stories. More than 200 million agent force LLM calls in Q3 alone on on track to power another 2 billion over the next year And those LLMs now are calling these agent force actions such as updating the opportunities, creating a case, handling service inquiry, and the number of average weekly actions has now risen about a 140% q over q. So we're really seeing you know, the adoption and the usage, and that's what's really exciting. Here's a number we really haven't focused on I think, in an earning script that I don't even think we hit it last time exactly. But agent forces process more than 3.2 trillion tokens. So 3.2 trillion tokens for our LLM gateway so far. And we're gonna start talking about that concept. We saw that in OpenAI's recent announcement that we were in their trillion token club. And, of course, we use all of the language models. You know, they're they're all great. You know, we love all of them. We love all of our children, but they're also all just commodities. And we can have the choice of choosing whatever one we want. Whether it's OpenAI or Gemini or Anthropic or what there's other open source ones, they're all very good at this point. We can swap them in and out. The low lowest cost one is the best one for us. Making us, you know, basically the top user of these foundation models. And that point that we did 3.2 trillion tokens let Bilbo Baggins know that we've got you know, adoption and usage happening here with this large language model gateway That was just a cube out to JRR Token himself. But that's that's the end of the jokes for the call. In October alone, token usage was nearly 540 billion, up 25% month over month. And I just don't think any other enterprise software company has stats quite like this. This isn't your Clippy. This is not your kind of a good AI demo. This is real enterprise adoption of AgenTeq AI and capability at scale globally. And those numbers are gonna keep growing as customers put agent force to work across their business, but not every task or step in a workflow needs to call the LLM. We call that determinism. And determinism is really important because for those of us who grew up in software, we used to call it if then statements. But now we call it determinism. But determinism is that, hey. If I need to do this, go to the LLM, but if I probably don't need to go to the LLM, just do that. So that is gonna even reduce our costs further and not hit the LLM as much as we do. And that's why we built hybrid reasoning and agent script, and our AI teams are just crushing it. On that. And we're giving customers the best of both worlds. Combining LM driven reasoning and deterministic precision. We had strong performance across agent for service, agent for sales and Slack, And those three apps are just a powerful combination for test us at Salesforce how you you know, we use those every single day. We live on them. It is really the hat trick for Salesforce with large customers to say, let us show you what we're doing in service. Let us show you what's doing in sales. Let us sort of show you we're doing in Slack. And it is it's a it's a wow experience right now. It's only gonna get better. And in fact, if we included the full contribution of AgentForce just in service we used to call it Service Cloud. Now we call it AgentForce service. But you look at agent for service, we would show an additional point of growth in Q3. Now Mike likes to carve off the agent thing revenue. He wants to have it in his own line, blah blah blah. It's a huge argument between me and Mike. And, you know, the reality is look, you're not gonna have agent for service or agent for sales without the AI. So you know, it's just moving. And Slack is now where it's coming altogether, and that is incredible conversational interface for every app, every agent, every work workflow. I'm gonna get to a really cool point in a second. And when we release this new Slack bot, every you gotta see it. So you've all got friends who are Salesforce employees. Take them aside. Have them show you Slackbot. And just you know, do the do whatever query you want and say, hey. I'm talking to this customer. I'm talking to that. Tell me this. I'm and you're gonna see some incredible things, how it has the ability to search across Salesforce and build agents and create things and do this incredible work on your behalf. Now I'll tell you, and I I'll just tell you that for me, check you know, Slackbot is like chatting with just one of our Ohana that knows everything about Salesforce. So it's pretty awesome. But nearly 90% now of all of the Forbes top 50 AI companies are using Salesforce. Let's just think about that for a second. 90% of all the Forbes top 50 AI companies, those are the Anthropics and the OpenAI's and the blah blah blah companies Okay. That is, or cognition, cursor, Figure AI. Okay. They all average about four clouds each already. And 80% of them are using Slack to run their business So if you're with those companies, hey, Say, hey. Show me how you're using Slack. They may not have Slackbot yet, because we've only turned it on for you know, a small number of customers who are about to hit the switch, everybody's gonna see this employee agent power. So they most people have seen the customer agent power. Now they're gonna see the employee agent power. And they're gonna see how it's built on agent force, how it's built on the apps, and how it's built on the data. Now with all these companies, you know, we're really folk partnering with them. So we can really leverage the best of what they're building, the frontier models, the agents, and even trainees using the coding agents now. And, look, you've heard me say this over the last few years. And, you know, we kind of Miguel's gonna come to this point, but we all know the speed of innovation in the last three years is far outseated the speed of customer adoption. The customers have been racing to catch up to what we've been doing But we do see that changing. And we saw that at Dreamforce. And I know all of you saw that also that customers are really saying, yeah. I'm gonna use this now. I'm gonna do this. I'm gonna put in my customer agents. I'm gonna put my employee agents. I'm gonna get my omni supervisor. I'm gonna harmonize my data. I'm gonna federate my data. I'm gonna upgrade my apps. And customers in production with AgentForce have jumped now 70% year quarter over quarter. So customers in production with agent force jumped 70% quarter over quarter. That's the stats that we're looking for. Great companies like Uber, like Conagra, like LY, like Williams Sonoma, like all these great companies that we've been talking about. And the consumption flywheel is gaining traction. In the quarter, more than 50% of new 50% of data three sixteen bookings came from existing customers expanding their investment, which was awesome. And really showed adoption. And we are very focused on adoption more than ever before, especially as a an agent force. Data three sixty is the foundation. For every agent force deployment, and it's accelerating in Q3 data three sixty. The product formerly known as Data Cloud, In Q3, Data three sixty ingested 32 trillion records. 32 trillion records. Up a 119% year over year, and that includes 15 trillion through zero copy data integration, up 341% year over year, So Dentsu, Moody's, KPMG, Ferguson, Zoom, and dozens more invested in data three sixty in the quarter. And I couldn't be more excited about completing our acquisition of Informatica It's three months ahead of schedule as we like it here at Salesforce. We like things ahead of schedule. And we like them under budget. And I'll tell you, Amit, I know I know all of you know Amit, His team are great. We're thrilled to have them. And you know, when we were doing the due diligence on the company and we saw a lot of things in the labs, that we're looking forward to bring into the market because, look, that data layer I haven't done the math exactly, but I think if you do some of the math, I think it's about a $10 billion business for us next year now. You know, when you look at Data three sixty plus MuleSoft plus Informatica, Micah's doing got his out trying to figure out if I'm right, but I think I am. When you look at a $10 billion business, that's the first layer. That's data. So Informatica with Data three sixty, MuleSoft, I mean, that is taking everything to this new level. And when you get into the world of harmonization, integration, federation, and then you're trying to deliver it to the AI, the intelligence, the accuracy, the reliability to wipe out hallucinations delivering the AI context. Now we're seeing momentum across multiple sectors. We had incredible wins this quarter. Miguel is gonna talk to him about. CVS Health and Telecom Argentina and TD Bank and the IRS, somebody who's gonna be getting a big check from all of us. They're now on agent force, so your IRS agents are AgentForce agents and NG and many more are becoming at Gentec Enterprises. And Costco, we love Costco. It's a well, we love all of our retailer friends equally. They're all of our children. We do love that Costco warehouse experience and it's a great expansion for us in the quarter. We're driving AI and digitization, a everything they do for their members. We're doing some incredible things there. With Google. And we worked with you know, Javier. If you don't know Javier, probably one of the top I don't know. Five, one, two I mean, best CIOs I've ever worked with in the whole industry. Was it Coke? Was it P and G? Was it Mondelez? Now Somehow Costco got him. I still don't know how Costco got Javier, but congratulations to Costco. So many times having great results there. So really excited to see these customers especially these big customers and of course, we know General Motors. We love Mary. Amazing. You know, have one of her new Escalade IQ. She's tired of me telling her how much I love it. Expanding Salesforce across the automotive cloud Data three sixty MuleSoft, agent for sales, agent for service, But really cool, agent force tossed their other collaborative product. We won't talk tell you what name what it is, but you probably know the name. And they're now using Slack. So Mary we're thrilled that you're doing that. We love working with you. You're an incredible CEO, and you're showing the world how to turn an iconic company into an agentic enterprise. Great products and great systems. And with agent force Mary is speeding up case resolution for her call centers Slack is now the company's primary communications hub. Scaling to 96,000 employees in just nine months. Last month, we launched AgentForce IT service or AgentForce ITSM or you know that what company that we're targeting. We never really went after this before. And then all of a sudden, we realized we have the top service product. In the world, and then we've got the top field service product in the world. And customers want this kind of you know, trinity from us that includes IT service. And for whatever reason, because we had certain people in our company, we'll go into the names who didn't wanna build it, And you know, the that building that database that drives it well, already, we're selling product and really doing a phenomenal job there. You know, the former CEO of AI, Sarah Mudu, is running this thing. And you know, PenFed went live with ITSM. With agents for IT service, and we've got all kinds of customers who've bought, you know, products from these competitors who never deployed them or don't you know, like these guys Well, guess what? We are gonna deliver some incredible, capabilities, and you know, we think that well, you look at PenFed. You know, I think they went live with agents for IT service as well as member service and collections. They project in a 30% reduction in operational expenses 2,000,000 in savings with this product. It is killer. So tell your friends who need ITSM. They can get it now from Salesforce. We're seeing incredible momentum also And here's another competitive situation. Life sciences cloud. And with life sciences cloud, with new bookings tripling year over year, always been a strong vertical for us, but we have this partner who decided to become our competitor, Veeva. And, you know, we're taking market share from Veeva. They even had to talk about it in their earnings call that they lost all these deals to us, but they have not seen the losses yet are coming. Highlighted by a notable new win at Haley on this quarter, but just in the new past few months, more than a 120 industry leaders have selected Life Sciences. Glad I was talking to the CEO of one of the top five life sciences companies just yesterday, He's a good friend of mine, and you know, going to life sciences cloud, all led, by the way, with Pfizer and Albert who decided to be the number first one. And so grateful to him. And it's a great product. It includes five of the top pharma five of the top 20 pharma companies already, but you're gonna see them all. Use Life Sciences Cloud. And most recently, Novartis is gone. Salesforce Life Sciences Cloud and I don't know. All all Takeda, all of them are gonna go. And our public sector solutions ARR also grew 50% year over year in Q3, Really cool products. I was just in Washington DC last week. I already mentioned the IRS. I was with the treasury secretary. I was with a number of the cabinet secretary. All of them are rebuilding what they're doing, reautomating and we wanna help all of them. And I'm inspired to see some of the largest and most impactful government agencies running their businesses and their critical workflows and their agents and, their data on Salesforce, including the air force. Army, Dan Driscoll. We're really proud to work with Dan and the army and you know, just told me, came in and delivered, you know, his recruiting goals nine months early using agent for sales and department of Of course, we run the whole veterans affairs. We have a 120 apps there now. And used to be a huge problem at Veterans Affairs for the whole country. And veterans were not getting the service and support they needed. We cleaned that up for them. And as I mentioned also the IRS, but for everyone we're in there doing our best, and we're we're delivering at very reasonable cost and on budget And you know, we're not we're we're really excited to be working with the government and helping them to become Agentic Enterprises. And we're really excited to work with the IRS. I always wanna say the office of the chief counsel has automated up to 98% of their manual activities decreasing the time to fully open a tax court case from ten days to thirty minutes another division saving an estimated five hundred thousand minutes a year, retiring multiple legacy systems And now AgentForce with IRS is gonna be able to further optimize automated accelerate business process across the entire agency and just wanna congratulate secretary Besson for his tremendous leadership and what he's done in transforming the a. The IRS and also the all of the treasury. This week, we launched The UK's first AI police officer, We work with multiple police departments to roll out Bobby, Everybody loves Bobby. It's the agent for service agent that is the public's first point of contact for nonemergency calls. And Bobby autonomously provides instant responses on more than 90 topics and police departments have already seen a 20% reduction in nonemergency demand, and they are just getting started. And this is what real enterprise adoption looks like. No other companies delivering agents to the scale. And when you look at what others in our space are doing, difference is clear. Delivering this capability. To a global customer base, more than a 150,000 Salesforce customers and 1,000,000 companies are now on Slack. Now have the immediate opportunity to work side by side with agents and agent force in the app started using every day to become elevated And that's why we're uniquely positioned for this new era. We have the strategy, the platform, the global scale, And I would say also, you know, our core values very much trust, customer success, equality, and sustainability remain very much intact. Also wanna thank all of our incredible Ohana for everything they've done during the quarter to make this quarter so successful, make Dreamforce so successful, all the world tours that are happening and so many great customer stories. But I especially wanna thank all of our Ohana who've done 10,000,000 volunteer hours to support the communities where they live and work It is we are so grateful to them And now I'd like to throw it over to Robin.
Robin Washington: Thank you, Marc, and good afternoon, everyone. It was great to see many of you at my first Dreamforce as COFO, which was unforgettable. The energy was incredible, as Marc just talked about, and carried through the quarter, as you can see from our bookings momentum. We're excited to see our customers' transformation to the Agentic enterprise accelerate. Driven by growth 360 playbook, including multi-cloud, price pricing and packaging, our balanced portfolio, and continued innovation. I just wanna share a few key data points with you. More than 70% of our top 100 wins included five or more clouds. In pricing and packaging, new bookings for agent force one edition and a for x, or as we call it, agent force for apps, our most premium SKU, doubled quarter over quarter. Our consumption flywheel is spinning. Agent force accounts and production increased 70%. Quarter over quarter. And more than 50% of agent force bookings came from customers refilling the tanks. Agent force and data 360 ARR was up a 100% year over year. This is inclusive of agent force ARR, which is up 330% year over year. Clearly, we have the winning formula here. So let's turn to the results of the quarter. Revenue in the third quarter was $10.26 billion. Up 9% year over year in nominal and 8% in constant currency. Driven by the trifecta of agent force Data 360, and AgentForce sales and service performance. This was partially offset by a faster than anticipated mix shift to cloud for Tableau and on-prem revenue timing in Tableau and MuleSoft. As we've shared with you before, the on-prem portion of MuleSoft and Tableau revenue is recognized in period, which creates less predictability revenue quarter over quarter. Subscription and support revenue grew 10% year over year in nominal and 9% in constant currency. Q3 revenue attrition ended the quarter at approximately 8%. In line with recent trends. We delivered another quarter of profitable growth, with Q3 non-GAAP operating margin up 240 basis points and GAAP operating margin up a 130 basis points. The strong performance this quarter was driven in part by timing of expenses. And a bad debt expense adjustment based on our strong collection performance. Current remaining performance obligation or CRPO ended Q3 at $29.4 billion up approximately 11% year over year in nominal and constant currency, inclusive of a $200 million foreign exchange tailwind. This better than expected performance was driven by strong bookings and a modest benefit from early renewals and the timing of on-prem revenue. And I'm pleased to share that for the first time since fiscal year 2022, net new AOV growth outpaced AOV growth. From a geographic perspective, we saw strong business growth in North America and EMEA. Led by France and The UK. While Asia Pacific was more constrained, particularly in Australia and India. From a segment perspective, we continue to see strong performance in our small and mid-market business. And enterprise growth accelerated this past quarter. From an industry perspective, business services and consultancy health care and life sciences, and retail and consumer goods performed well. While comms and media and manufacturing, automotive, and energy were more measured. As committed, I wanted to quickly update you on the progress we made on our three strategic priorities. First, customer success. Repeating what Marc said, our top priority is accelerating agent force. And data 360 adoption. We are relentlessly reallocating our resources to high growth areas and it's paying off. Q3 was one of our biggest pipeline generation quarters ever, and customers leveraging our forward deployed engineers are seeing 33% faster deployment times. Second, operational excellence. As customer zero, our SDR agent has worked hundreds of thousands of leads, generating tens of millions in incremental pipeline. We see that same velocity with agent force on help.salesforce.com. Which passed 2 million conversations this quarter. It took nine months to reach the first million and just half that time to double it. Another clear example of our internal consumption flywheel taking off. The third area I wanna cover is responsible capital allocation. Informatica enhances our trusted data foundation. And it will be accretive within twelve months. We also returned more than $4 billion to shareholders in Q3. We continue to see a meaningful opportunity to invest in ourselves and we are on track for a 50% step up. In share repurchases in the second half of this fiscal year. Turning to guidance. I want to frame our outlook inclusive of Informatica. To help you model this clearly where relevant, I'll give our organic performance, layer in the acquisition impact, and then provide the consolidated figures for Q4 and fiscal year 2026. Starting with subscription and support revenue. We are reiterating our fiscal year 2026 organic subscription and support growth guidance of approximately 9% year over year in constant currency. This is fueled by continued momentum in AgentForce and Data 360, partially off by set offset by weaknesses in marketing and commerce, and the on-prem dynamic for MuleSoft and Tableau. Informatica will contribute approximately 80 basis points of additional growth. Resulting in total subscription and support growth of slightly under 10% year over year constant currency. Turning to total revenue. We are narrowing our fiscal year 2026 revenue guidance on an organic basis. To $41.15 billion to $41.25 billion Growth up approximately 9% in nominal, and 8% in constant currency. This is attributed to a $25 million FX headwind since last quarter and the on-prem dynamic for Tableau and MuleSoft. We anticipate a contribution of approximately 80 basis points from Informatica resulting in fiscal year 2026 revenue of $41.545 billion to $41.55 billion. Or approximately nine to 10% in nominal and approximately 9% in constant currency. Before I turn to profitability, I want to highlight that with our current trajectory of net new AOV growth, we project to finish fiscal year 2026 with half two net new ALD growth ahead of half two ALV growth. Turning to margin. As a result of the close timing of Informatica, we are maintaining our non-GAAP operating margin guidance. At 34.1%. And adjusting our GAAP operating margin to 20.3%. We are raising our annual guidance on operating cash flow growth to approximately 13% to 14% growth as a result of our strong Q3 bookings performance. We expect capital expenditures to remain slightly below 2% of revenue resulting in free cash flow growth of approximately 13% to 14%. Organic CRPO growth for Q4 is expected to be approximately 11% year over year in nominal and 9% year over year in constant currency. As a reminder, we are lapping our acquisition of OWN in Q4 FY 'twenty five which represents slightly under a point of impact. Inclusive of Informatica, we expect CRPO growth of approximately 15% year over year in nominal, including a $500 million FX tailwind. Resulting in approximately 13% constant currency growth. Consistent with our Investor Day outlook, we remain on track to reaccelerate revenue. In twelve to eighteen months. In closing, our momentum is building fueled by agent force. We are executing against our FY30 framework and investing with discipline, positioning us incredibly well for the future. Finally, a big thank you to all our employees for their dedication And hard work delivering a successful Q3. I'll turn it back to you, Mike.
Mike Spencer: Thanks, Robin. And with that, we're going to move to the Q&A portion of our call. Operator, can we please move to the first question?
Leila: We will now begin Q&A. For today's session, we will be utilizing the raise hand feature. If you'd like to ask a question, simply click on the raise hand button at the bottom of your screen. Once you've been called on, please unmute yourself and begin to ask a question. Please limit to one question. Thank you. We will now pause a moment to assemble the queue. Your first question will come from Keith Weiss with Morgan Stanley. Please unmute and ask your question.
Keith Weiss: Excellent. Thank you guys for taking the question, and congratulations on a really solid quarter. And, also, great to you guys putting your money where your mouth is and the accelerated share buybacks. Expressing your conviction in in sort of the value of Salesforce's stock where it is. I had a question for Miguel, and, it tried to sort of tap into your experience in talking to these large customers, because there's still a very big mismatch in the marketplace in terms of what we hear from investors in terms of the expectation that generative AI is going to be injurious to the SaaS based application layer, that enterprise customers are going try to build their own functionality or gonna try to replace solutions like Salesforce with DIY solutions that they could build around these models versus what we're seeing in the inflection in your business. So you talk to us a little bit about what you're hearing from customers and their appetite or or desire, if they have one, of building out their own applications versus going to a vendor like Salesforce to try to get to this generative AI function or capabilities?
Miguel Milano: Keith, thank you. Thank you so much. That's spot on question and is the heart I think it's the heart of the matter, and I think there is there is a a really different perspective on what is really happening. This past quarter, I was in three continents, 12 countries, I talked to 400 customers, many one on ones, many one to several at dinners. And the reality is very different. There is something very large, very important, and I wanna emphasize this. I don't think we've made and Robin, enough justice to what is happening right now in front of us. This is there is a new very large secular demand trend, which is the agentic enterprise. Every single company in the world small, medium, large, wants to become an agentic enterprise some a company that is conversational, that is much smarter that empowers employees by giving them extra information that is able to execute autonomously but also probabilistically on one side when AI wants to execute, deterministically when you want when you want the current current workflows to be executed. And this is to increase growth to reduce costs, to improve customer satisfaction, and every customer wants to do it. Now the problem is they've been experimenting. Been experimenting for two years. They've gone from experimentation now to frustration a little bit, and now they're all saying, you know what? This is hard. This is much harder than we thought. But they all want to go to scale because the the opportunities, which is a multi trillion multi trillion market cap opportunity, It's in front of us. The TAM is multi trillion for them, for us. And they want to go all in. They know it's hard because LLMs cannot do this alone. And now to answer your question, the last mile is hard. And the last mile is hard because companies need the context. For enterprise AI to be successful and accurate in the enterprise, you need the context. You need the data. You need the metadata. You need the term deterministic workflows. You don't want the agents to be essentially executing based on what they found in an LLM You want the agents to execute in a deterministic way the same workflows that that company had already codified in the apps for the years that humans are already using. And they need AI that is embedded where the humans are. That's why it's so important to have the data with the context to have the apps, the deterministic workflows, to have the AI where the humans are, and only Salesforce. Can do that. And we are seeing an incredible increase in demand ahead of us. We are winning. You're seeing the bookings. I'm very proud of the quarter that we delivered. I'm very thankful to my team, the whole employee base of Salesforce. I'm also very thankful to our customers. And I'm very thankful to our partners. Mark, do want to add anything to that?
Marc Benioff: No, think that was great. Thanks, Miguel. Hold on.
Mike Spencer: Thanks, Keith. Operator, we'll move to the next question, please.
Leila: Your next question will come from Raimo Lenschow with Barclays.
Raimo Lenschow: Mikhail, can I stay on that subject a little bit? You you've been expanding the sales your your sales rep quite a bit, and that's, you know, still part of the plan. How how do you think about the ramping of those, and and how do you also think about productivity for those extra reps coming on? Thank you.
Miguel Milano: I have to credit Mark for that. We we are a seminal moment a year ago where where we, particularly Mark, he saw the demand coming. And he told us, let's invest in capacity Let's also invest in enablement. So I became six months ago, so the enablement leader for the company. And we have now today 20% more capacity in place We're going to finish the year with 15% more capacity enabled. Already, we call it ramped. This is fundamental. You know, it takes six to twelve months to, on average, to to ramp AEs. We've done all the hard work. Exactly at the moment that the demand is coming at us. So, I see the pipelines, growing. The top of the funnel is growing. We've never seen a pipe gen quarter like we did in Q3. We've essentially very healthy double digit growth in PipeGen above our expectations. Next year, pipeline open pipeline is again double digit healthy growth on open pipeline. That matching the double digit healthy growth on enabled capacity It is very exciting. We are ready to capture the opportunity. And again, this is not just one more cloud that now we are very excited. Agent four data cloud is gonna add 10%, 20% on the business that we do with every customer. The agentic enterprise is a new paradigm. Customers will have will use Salesforce in a totally different way. They will use Salesforce to be the platform for digital labor, for sales, for service, for marketing. And the impact on the way we can monetize those relationships is exponential. It's not linear growth. It's exponential. Robin alluded to that in at Investors Day. You were talking about three times, four times, the ability to multiply the monetization on on on customers because, by the way, they are getting three or four times or 10 times more value from our products. I'm already seeing a lot of examples of companies that had a great relationship with us, had a multi cloud relationship with us, sales, service, all our core clouds. They were very excited. And then AgentForce and Data Cloud came. They decided to become an agentic enterprise. They understood the last mile problem. They bet on Salesforce. And now the bookings that we do with them, the AUV, had double, triple, in some cases, multiplied by four and five, and we are just getting started. We just wanna get every single one of our 150,000, 200,000 customers through the agentic enterprise journey and for each of them, is going to be a multiplier effect.
Mike Spencer: Thanks, Raimo. Operator, we'll move to the next question, please.
Leila: Next question will come from Brad Zelnick with Deutsche Bank.
Brad Zelnick: Great. Thanks so much. And my congrats on an amazing quarter. Mark, at this point, even without Informatica and and now more so with it, you have one of the largest infrastructure businesses in all of software. Well over $10 billion in scale. What Salesforce's competitive advantage in infrastructure? And how do you not only get credit for it in its own right, but leverage these core capabilities to drive the overall company's success.
Marc Benioff: Really appreciate the question, Brad. I think number one, wanna make sure everybody realizes we're not building data centers at Salesforce. We're preserving our gross margins. And our cash flow. But we will use the data centers that are being built and, we will take advantage of the lower costs that we're seeing in the market from the incredible build out of data centers. But, yes, you're right. Our data infrastructure is incredible. We call it our data foundation. And I think you realize it composes as I mentioned, you know, three key things, Informatica, Data 360, our data cloud, and also MuleSoft. And together, you're right. I think it will do about $10 billion next year in business. So this is a very significant software business. But it's fundamental, it's key for every one of our customers to move to this data foundation. And we are still at the beginning of that journey with so many of our customers. And one of the keys to it is its federation. I just came back from Japan, as I mentioned. One of the most important companies in Japan other than Salesforce is IBM. IBM has about 8,000 employees in Japan. We have about 4,000 employees in Japan. We have think we're the largest software company in Japan right now. And the ability to federate Data 360 to the IBM main frame, which is technology that we just introduced in Tokyo two weeks ago at our world tour That idea that you're running agent force, but it is being fueled by not only the data and data 360, but simultaneous the data in your IBM mainframe. So that infrastructure is critical to delivering the AI that is accurate, that is reliable, is low in hallucin hallucinogens, and this is fantastic for the company, and it is not something that is totally independent. It's deeply integrated with everything that we do. So all of our apps, agent force, our customer agents, our employee agents, everything is built on this fundamental foundation. I couldn't be more excited about it.
Mike Spencer: Thanks, Brad. Operator, we'll move to the next question, please.
Leila: Your next question will come from Brent Thill with Jefferies.
Brent Thill: Great. Mark, the halo effect Asian forces having, I mean, it it seems that sales and service were stable at at high single digit growth. Slack accelerated growth. Can you just speak to what you think this is doing for your other clouds and and maybe even drill in on the Slack resurgence.
Marc Benioff: Well, you're right on it, Brent. I think that it's an accelerator on the core. And I think that we're you know, to address the question that went to Miguel where there was a false narrative that somehow the core is in jeopardy because of, you know, these large language models. And while the large language models are very important and they will expand in functionality, I'm sure, over time, The reality is is that our ability to take our core applications, extend them, and deliver another level of value beyond what we were doing before. Now had already been doing predictive AI and you know, all the kind of Einstein, you know, AI. But now with Agent Force, it's another level, and you could see it really at Dreamforce when we're demoing you know, agent for service with the omnichannel supervisor and the ability for the agent and the humans to interact autonomously. That was just awesome. Because it's humans and agents and the apps and the data. And that I think, what is really driving this forward, and it's happening in sales. It's happening in service. It's happening in Slack. And I'm confident it's gonna happen in marketing. It's gonna happen in commerce. It's gonna happen across every Tableau, across every single product. Every single product had to be rebuilt, so that took some time. Love for Srini to come in and kind of talk about that. But now that we deliver those agent force products and you saw each and every one of them at Dreamforce how far they are, customers are excited to get to that next level.
Srini Talabhrigada: Just to connect those two questions. And if you really look at agents, agents need context. Really, and they need tools. And what is context? Get context you need data across the enterprise. Some in the company, which is in the platform, some you want to federate it, which is what we data copy. Some through ingest, which is by Informatica case. You need to understand where all the data is in the company. You need a catalog. You need a master day metadata. You need to organize all this data, and you need tools This is what is enterprise context. Without having enterprise context, it's very, very hard. And that's what our data foundation gives with Informatica, MuleSoft, and Data 360. On top of that Actually, really drill into that because people still don't understand. So just so you know, just on just on the ingest, for example, in quarter over quarter, on data 360, people have built their leg just in data cloud. Our ingest has increased by 38%. At zero, copy has increased by 52% growth in terms of records. But this is unstructured data. So it's just not the structured data. It's all your documents, all your knowledge articles, all your user manual, That has increased by 109% growth. And then to this is how you create create this unified profile or unified product ID, unified customer master, unified account master. That's what is the unified context you want in a real time profile. That's very hard to do. But just if you have this context is not enough. You need the deterministic place for reasoning, where deterministic, where nondeterministic. Then you need the tools. To the agents have to take actions. Some of the actions are in Salesforce already. The jobs to be over twenty five years per each vertical. We have really deep understanding of not just a sales rep does, We know what a sales rep does in a financial industry. Different from what a sales rep does in a pharma, which is different from what a sales rep does in a telecommunications industry. So that's the jobs to be done. Now imagine you need the context. You need the jobs to be done. You need the tools And sometimes you have back end systems where you need those APIs. That's why MuleSoft is very important. Now if you just think these three are enough, it's not enough because once you go live, you need an eval. You need to know how the agents are performing. You need auditing. You need compliance. You need local data residency tools. This is what we are finding enterprises who did do it yourself for realizing that it's good news actually for me. When I talk to CIOs, I see two types. People who are really advanced, who are visionaries, who started two years back, we do it yourself, they really understand the pain point. They are the ones who are moving fast to the platform. Then there are some people who still think they can do it, and we'll convert them over years. So I see people who have what it takes, and so they know the day two, day three problems. And some people who still think. So to do this, it was not easy. Correct? You had to build a platform. So four years back, we started with the Hyperforce layer. Then we created a data layer. We had to pull the data lake, a lake warehouse, That's what data 360 was. We rebuilt the entire infrastructure on the platform, on the hyperscalers. That rewrite our entire metadata layer to do thousands of records, but millions of objects. Then we had to rewrite all our applications, our score sales, It's no longer a sales cloud. It's agent for sales. So because when I talk to Miguel, he doesn't just want a sale. Transform his function into agentic sales function. Run customer success. Job is not to do customer success. I want to write a agentic customer success. This is why help.salesforce.com is important. That's what you're saying. So imagine each of these applications are changing. But this framework is allowing another thing. When we started doing agent ITSM, normally, they've taken a long time. But because we had the foundation of the data layer, the agent force layer, the metadata layer, Suddenly, building an agentic ITSM became very easy, and that's what you're trying to see, the leverage. Same with life sciences cloud. So you're not trying to build the regular way, but this took time. And now that we have this customer success you are seeing, this is what is gonna make us a differentiator, and that's our promise to our customers. One more slight thing, is our customers two years back, they would ask me, what model are you supporting? Where is it? What hyperscale are on? They don't ask me any of those things now because we abstract all the complexity for them. That's the original promise of Salesforce when we said no software. That's what it is. We bring the customers to the future. We wanna help our customers come go to the agentic enterprise. And that's what we are doing and all our forward deployment motions with our own PS services, with our customer success team also with our SI partners. Heavily invested with Accenture, Deloitte, PwC, and other global partners, to really ensure that we also jointly partner with them and in a lot of places, they we are co selling them. They're having combined FDA training. And this together is what it takes to generate the agentic enterprise. And that's how all these points we are trying to tie together. Hopefully, that answers your question.
Mike Spencer: Brent. Operator, we'll take the next question, please.
Leila: Your next question will come from Kirk Materne with Evercore Partners.
Kirk Materne: Yes. Thanks very much for taking the question, and congrats on the momentum around AgentForce. Miguel, I think this one's for you. When AgentForce first came out, they a lot of questions from partners, customers about pricing just confusion, trying to get a handle on that. You know, it seems with the momentum, you know, people are more comfortable with that. And so the second part of the question is there's still a lot of concern among investors about, you know, as AgentForce helps customers maybe keep headcount stable or even know, lower head count in certain areas. You know, how does Salesforce monetize in that kind of situation? And I was wondering if you could just touch upon that a little bit, because I I think that'd be helpful to people to understand how AOV grows even in, say, a stable or declining headcount situation. Thanks.
Miguel Milano: Yeah. Thank you so much. Listen. Agent force is at the heart of the agentic enterprise transformation. The momentum that we saw in Q3 is pretty significant. It's unheard of. It's beyond our expectations. And I want to differentiate between momentum on the bookings, okay? Bookings is one part of the equation. The the hardest part of the equation is the adoption. Now on bookings, we saw the numbers of ARR the 70% more customers in production think there's one statistic that we haven't mentioned, is very powerful. We said that 50% or more of the bookings came from customers refilling the tank, Robin alluded to that. But I don't know if you remember, two quarters ago, I was super excited. I had to dig very deep to find that three customers came and refilled the tank in Q1 In Q3, three sixty two customers refilled the tank. That's an incredible testimony. Of the success that AgentForce is having in a very short in a very short time frame. Now, the other thing that we've learned is pricing matters. It's very complex. We've gone a long ways. We've had different ways of pricing the product. And now I think we have the whole portfolio of different commercial frameworks to meet customers where they are, where they want to be. My favorite one, of course, is the extreme. Those customers that are really you know, determined to become an agentic enterprise before their peers in their industry, They realize that the last mile is very hard. They know that Salesforce is the last mile. With humans, with the with the apps, with the data and the context. They go all they go all in with us. And they ask, Miguel, we don't wanna be trapped here in two or three years. Because consumption you we used to have 10 different metrics. Make it easy for us. And we went to them and we tell them listen, give me a fluffy We'll give you we pull all the power all the power of Salesforce, including IDs from Trini and we will deliver the agentic enterprise promise. We have actually a point of view for every industry that includes hundreds of agents that have already been defined We have a database of agents with their roles, with their workflows that they have to trigger on how they configure them. And we have the phase one, phase two, phase three. And customers just buy on an aela. We did 16 aelas in AgenTeq Enterprise license agreement in Q3 We have about 100 Aielas in the pipeline, and all these are multimillion dollar deals. And it is very exciting, but it gives the customer the predictability that they need. Now there are other customers that are more cautious, and they, I'm going to the other extreme. Drill in on that. So here we have this enterprise
Marc Benioff: you know, license agreement. We call this Sogentic enterprise license agreement. You know, when we first started was AgentForce, we were talking about oh, it's gonna be so much per conversation. It was you know, this type of pricing, maybe transaction based pricing, usage based pricing, but customers have pushed for more flexibility We've moved fast to that. How has that really hit the market? Explain why that is so important for customers.
Miguel Milano: Because, Mark, good question, by the way. We you and me, came up with the Aeila concept when we visited a few customers in Europe. From Udeliver to PMI. Had great conversations, and we realized that they wanted to move They wanted to transform, they were afraid about all these metrics, consumption, etcetera. So we what we're doing now is very simple. We are putting the whole menu of options to them. We also have a very successful SKUs that we launched which are Agent four for sales or Agent four for service that are seed based SKU People talk about seed based versus consumption based pricing. The reality is there are a lot of customers. That want seat based. Because seed based gives give you the predictability. So we've sold a lot of seed based licenses for AgentForce and Data Cloud in in Q3. In fact, that SKU has doubled year on year. It's very massive success there. And we also have customers from the beginning that they wanna just pay per conversation or per agentic actions. So we have the whole portfolio and we are meeting, and I love the sentence that Robin you know, illuminated me with a while ago is we are meeting customers where they are. Customer is a different point of the journey. So pricing is not is we put pricing away from the table. And by the way, we also have flex pricing. If customers are now going to the second part of the question, if customers are worried, okay, don't want to invest here too much because I already have my you know, service agents in this in the call centers. And my salespeople? And what if that reduces We have flex agreements where if you decide that because the future of is human and agents working together. In most companies, humans are also gonna increase, but if they decrease in some areas, do you redeploy them But they may not need a license of Salesforce. Well, you can use that, that payment to Salesforce into credits into an AILA or into an an asset based license. So we we have the full flexibility. Now humans and agents, I think you guys always ask the same thing on on whether you know, the number of seats is increasing, the price is increasing, Well, for our cloud, we are seeing both increasing, which is exciting. And we have the flexibility for customers if they want to move investment from one area to the other. So far, we are seeing that the power of AgenTek Enterprise is when agents augment humans, and they work together side by side with humans.
Mike Spencer: Great. Thanks, Kirk. Operator, we'll take our last question, please.
Leila: Your last question will come from Brad Sills with Bank of America.
Brad Sills: Wonderful. Thank you so much. Mark, a question for you. I I remember at the analyst meeting that we had at Dreamforce, you referred to some efforts to kinda get back to the basics within the sales channel in pipeline. I think you had mentioned that there were that the leads were there, but you weren't watering the leaves or the seeds were there. You weren't watering the seeds. Would love it if you could elaborate on on that effort to kind of focus back on kind of back to basics lead generation, what impact that has had on the pipeline. Thank you so much.
Marc Benioff: Okay. Well, I think that maybe this is our greatest accomplishment of the year. Of course, Srini has done a phenomenal job as well as Steve and the entire technology team in building, Agent Force. There's no question. The product is more exciting than ever before. We went through this in detail today. But I think that probably the most exciting thing that we have done this year from my perspective is not only have we delivered this incredible piece of technology, but we've radically enhanced the capacity of the distribution organization at a level that we have not done in years. This is very important, not for this year, but for the subsequent years. And this investment that we made this year in capacity is gonna pay off across all six segments. I just want you to remember Salesforce sells to companies zero to 200 employees. 200 to a thousand, a thousand to 5,000, 5,000 above, the US government, and across our ecosystem or the software industry. And to really address all six segments, it's critical for us to have the capacity to do that. Miguel, what is your total capacity increase for the year? So far? 20 as of today, 23%. About 23% capacity increase. And then we do four critical things. Not only we delivered more capacity, we have, as Miguel said, trained them enabled them, Obviously, these concepts that we're talking about, AgenTeq Enterprise, we've created this. We're envisioning this. We're defining what the future is with this. We have to enable them and train and give them the ability to deliver that in every one of these market segments. Number two, that core capacity, we have to look at that across every single one of those segments Several of those segments are delivering mid double digit growth a level that we have not also seen in years. Huge shock to us. And we really think that so many of these segments are just on fire and doing incredibly well. And then three is we have to link the compensation plans of these incredible sellers you know, to these goals, all the goals that you've kind of heard us outlined in the script. And the last thing is, we measure the participation of each seller across each segment, across each geo, across every operating unit and find out why are they selling or why are they not selling this product in this geography in this segment. So it's a radical level of management. I would say that our ability to do that today far exceeds where we were even just three or four years ago. And Miguel, I think, is, you know, spent a phenomenal job in making that happen. And I think that when we're running the largest Salesforce in the software industry, which is what we have, and the ability to deliver that across all of these segments with what I think is the most competitive piece of software we have ever had across every industry, every geography, across every segment It's a Herculean task. And Q3 when you look at these numbers and you saw you know, we were guiding, I think, to that we were gonna do you know, two 9% CRPR growth, and it went to eleven. Because Miguel crushed it. And, I'm really excited about Q4, but especially I'm a part excited about fiscal year 2027 and fiscal year 2028. Because of the capacity increases that we're making now.
Mike Spencer: Well, thank you, Brad. And thank you everyone for joining us today. Look forward to seeing everyone over the coming weeks. Take care.
Leila: Thank you for joining. This concludes today's call, and you may now disconnect.